Operator: Good day, everyone. Welcome to the Frontier Communications First Quarter 2017 Earnings Call. This call is being recorded. And at this time, I would like to turn the call over to Mr. Luke Szymczak. Please go ahead, sir.
Luke T. Szymczak - Frontier Communications Corp.: Thank you, Matt. Good afternoon and welcome to the Frontier Communications First Quarter Earnings Call. My name is Luke Szymczak, Vice President of Investor Relations. With me today are Dan McCarthy, President and CEO; and Perley McBride, Executive Vice President and CFO. The press release, earnings presentation, and supplemental financials are available on the Investor Relations section of our website, frontier.com. During this call, we will be making certain forward-looking statements. Please review the cautionary language regarding forward-looking statements found in our earnings press release and SEC filings. On this call, we will discuss GAAP and non-GAAP financial measures as defined under SEC rules. Reconciliation between GAAP and non-GAAP financial measures is provided in our earnings press release. Please refer to this material during our discussion, and review the cautionary language concerning non-GAAP measures in our earnings press release. I will now turn the call over to Dan.
Daniel J. McCarthy - Frontier Communications Corp.: Thanks, Luke. Good afternoon, everyone, and thank you for joining us. On today's call, I'd like to discuss our first quarter highlights, our plans to improve operating performance, and our Board's decision to reduce our dividend and use the proceeds to accelerate deleveraging. Let me start by saying we're pleased to have met our target of realizing $1.25 billion in annualized synergies, and to achieved our third consecutive quarter of gross add improvements in the CTF properties. Our focus now is on improving our customer retention, enhancing customer experience, and continuing to improve our cost structure over the coming months. With these initiatives, we are on path to subscriber and revenue stability and improved EBITDA later this year. As we implement the strategy, our Board has been carefully evaluating the optimal, long-term capital allocation for the business. The Board is determined that now is the right time to reduce the dividend to focus on accelerating deleveraging, while still maintaining investment in the business and providing a meaningful dividend for shareholders. As you have seen, we have reduced our quarterly dividend to $0.04 per share, which will make available approximately $300 million of additional cash annually, increasing to $400 million annually in the second half of 2018. We'll use this to reduce debt at a faster rate, and we are now targeting a leverage ratio of 3.5 times over the next few years. We also intend to issue secured debt in the near term to address upcoming maturities and reduce our cash interest expense. As our Board looked at our long-term capital allocation strategy, we believe it was prudent to reduce the dividend now, enabling us to address the larger debt towers in coming years and giving us ample runway to delever. As we execute on our strategy to deliver on the full potential of our strong assets, generating substantial cash flow on the process, we will continue to evaluate our capital allocation to ensure we strike the right balance between investing in the business, paying down debt, and returning capital to shareholders. Turning now to slide 4. As I mentioned, this was the third sequential quarter of gross adds improvement in CTF. This was largely driven by a full quarter of our robust marketing program. We continue to fine-tune our distribution strategies and launched an enhanced digital commerce channel at the very end of the first quarter. This was a key missing channel in our distribution strategy, and we are pleased to have closed that gap. Reducing voluntary churn is a critical focus of the entire company and is an integral part of our plan to achieve improved net addition trends in the CTF properties. The account cleanup in CTF that we discussed last quarter is now complete. And we do not anticipate any further impacts related to addressing these non-paying accounts. In the first quarter, the primary impact from this process occurred in January. We have seen substantial improvements to our revenue trends following completion of this effort. And we are confident that we are headed in the right direction. Please turn to slide 5. In legacy, customer trends reflect a one-time impact from the automation of processes to identify and deactivate non-paying customers. This enhancement was developed for the CTF properties and improve the effectiveness and efficiency of the same processes in our legacy operations. As our sales channels return to normalized operations in the first quarter, we experienced improved gross add trends in legacy properties. Turning now to slide 6, our field operations in the CTF markets have made significant progress in Florida and Texas as a result of standardization of processes, enhancements of support systems, and improvement in all facets of the service assurance team. California field operations continued to be impacted by challenging weather conditions during much of the first quarter. As the weather normalize, we anticipate improvements in California will be similar to those in Texas and Florida. We still have work to do in these areas. But I am very pleased with the improvements we have made to date. There's been a team effort with both the field management and the frontline workers in these markets identifying opportunities for further improvement. Turning now to slide 7. As I mentioned earlier, we are taking to steps to meaningfully improve our customer experience and create additional operational efficiencies throughout the company. We are highly focused on customer acquisition and retention. In April, we launched an improved e-commerce platform that creates an additional sales channel and will improve the customer experience and reduce call center volumes. Initial performance is in line with our expectations. And we will continue to invest in this platform to enhance acquisition tactics and retention efforts. In the third quarter, we will roll out a consumer-friendly FiOS self-installation system. This will improve customer satisfaction by providing customers the ability to complete FiOS installations on their own schedule. The introduction of this system will also increase efficiency and improve internal resource utilization by reducing reliance on contractors. Also, we are excited to be working closely with Pegasystems to implement their leading-edge customer care platform at Frontier. We have a range of initiatives that will be implemented on the Pega platform that together will transform the customer experience, improve customer care, increase retention, and drive higher customer acquisition, all while reducing marketing expense. Also, these tools will result in more consistent outcomes because they will make business processes easily repeatable. You'll see the results of a consistent stream of upgrades and enhancements to our capabilities over time, as a result of this ongoing investment, which is already included in our existing guidance. Turning now to slide 8, our priorities for 2017 continue to be to improve customer churn and the customer experience. We remain highly focused on maintaining the momentum of sales performance improvement in the CTF markets that we have delivered over the last three quarters. We anticipate building additional momentum, as we enhance our distribution channel capabilities. On the expense side, we continue to execute on our plans for further reductions in operating expenses and increases in efficiencies in order to maintain our strong free cash flow. We have a very clear path to attaining the synergies we have outlined, and Perley will take you through that. In commercial, we continue to execute our strategy of introducing multi-tiered direct and indirect sales channels to the CTF markets. We completed the reorganization and segmentation of our legacy markets. And our sales force is now focused geographically, and we expect this to drive greater penetration within our territory, and in particular, within the more than 30,000 buildings that are fiber-connected within our footprint. We have a very substantial runway of opportunity in commercial, and we are very pleased with our increasing momentum, as measured by the expanding pipeline, both in legacy and CTF. Finally, we will continue to execute on our CAF II (09:55) upgrades, as well as select upgrades in markets around the country on our copper plan. For instance, we will be deploying G.fast technology in MDU applications, providing a highly competitive offering for that segment. Our first application was in Connecticut, and we are pleased with the performance and looked at to move that more widely into production in attractive markets. I will now turn the call over to our CFO, Perley McBride, to discuss our financial performance.
R. Perley McBride - Frontier Communications Corp.: Thank you, Dan, and good afternoon, everyone. Please turn to slide 10, and I will begin with the key financial highlights of the quarter. First quarter revenue of $2.36 billion declined $53 million from the $2.41 billion reported in the fourth quarter of 2016. Approximately $16 million of the sequential decline in revenue was a result of the previously disclosed cleanup of CTF non-paying accounts and the automation of legacy non-pay disconnects. The cleanup and automation processes have now been completed. Adjusted operating expense decreased by $10 million sequentially due to the continued cost-out initiatives in spite of the annual payroll tax restart. Adjusted EBITDA was $923 million, down $43 million sequentially due to the revenue decline. Our first quarter adjusted EBITDA margin of 39.2% decreased about 8 basis points from the fourth quarter of 2016 due to the top line decline. We continue to target EBITDA margins above 40%. CapEx for the quarter was $315 million, as we began the year making good progress across all of our key investment initiatives. Adjusted free cash flow was $175 million, down from $316 million in Q4 2016 due to the seasonality of our working capital. As a reminder, Q1 and Q3 are quarters where we consume more cash, and Q2 and Q4 are quarters where we consume less. Please turn to slide 11. Customer revenue of $2.16 billion was down $51 million or 2.3% sequentially from the fourth quarter of 2016. As previously disclosed, first quarter revenue was impacted by the final cleanup of the CTF non-pay accounts and the automation of the legacy non-pay disconnect process. The CTF account cleanup reduced Q1 revenue by $11 million, and the one-time impact related to automating the non-pay disconnect process for the legacy properties, reduced Q1 revenue by $5 million. As stated earlier, these are now complete. The remaining $35 million decline was primarily driven by residential voice and video customer losses on the CTF properties and carrier declines, including wireless backhaul, on the commercial side of the business. We expect our investments in network and customer-facing systems and processes to continue to contribute to improved customer and revenue trends. Turning to slide 12, residential ARPC in our legacy markets was $63.34, up $0.15 sequentially over the fourth quarter of 2016. Residential ARPC and CTF operations was impacted by customer losses especially in video, which were offset by improvements in the customer collections processes. As a result, ARPC and CTF was $106.74, was up $1.37 sequentially over the fourth quarter of 2016. On a combined basis, our ARPC for the quarter was $80.62, up from $80.33. In addition to improvements in collections, the increase was driven by targeted pricing changes, which partially offset customer declines during the quarter. Please turn to slide 13, where I will go through the Q2 2016 to Q1 2017 adjusted expense walk. Our cost structure has materially changed since Q2 2016, which is driven by both expense synergies from the transaction and other business changes. As Dan mentioned, we achieved our targeted $215 million of annualized synergies, which were accelerated to the end of Q1 2017 from the end of Q2 2017. These expense synergies were driven primarily by staffing changes, resulting from moving to a centralized organization, as well as vendor rationalization and pricing benefits, which provided savings in outside services, computers, software, and office services. Our other business changes further reduced our cost structure, some related to the loss of customers like content and regulatory fees, and others related to our ongoing cost-out initiatives. Moving to slide 14. As mentioned previously, we also increased the magnitude and accelerated the timeline for realization of the next tranche of savings. We are targeting $350 million in synergies, up from $150 million by mid 2018. We will also continue to identify additional expense reduction opportunities unrelated to the synergies over the course of 2017 and into 2018. Our synergies and cost savings will be achieved through a number of initiatives, including continued reduction of compensation through process improvements, which we expect to contribute approximately $200 million in efficiencies. We also expect to realize an additional $100 million in expense reduction through business process and system implementations to drive operational efficiencies, resulting in lower third party services. We continue the process of rationalizing our facilities and real estate footprint, and exiting unfavorable leases, which we expect will create $400 million expense reductions. And we are enhancing our discipline in managing video content at each renewal cycle and leveraging our enhanced scale to improve pricing and terms, which we expect to have a $40 million impact. On slide 15, CapEx in the first quarter was $315 million, up from $299 million in the fourth quarter of 2016. We are affirming our guidance for 2017, so we continue to expect full-year 2017 CapEx to be $1 billion to $1.25 billion. Growth initiatives comprised roughly 75% of capital spending during the quarter. This included driving commercial businesses to more return-focused projects, and our CAF II investments enabled approximately 27,000 households and an additional 82,000 households in adjacent areas. We also continued our Ethernet expansions in CTF and upgraded IT capabilities to drive EBITDA. We accepted just over $35 million in state Broadbrand Grants in 5 states, with builds scheduled for this year and next year. Turning to slide 16. As Dan discussed earlier, we have revised our capital allocation strategy to enhance our financial flexibility while still providing a meaningful dividend to shareholders. The reduction in our quarterly dividend from $0.105 to $0.04 per share will create approximately $1.9 billion of additional available cash through 2021, and we will use this primarily to repay debt. Our target leverage ratio was 4 times by the end of 2019, and 3.5 times by year-end 2021, down from the current level of 4.39 times. As we continue to execute on our strategy to deliver on the full potential of our strong assets and generate additional cash flow, we will continue to evaluate our capital allocation to ensure we strike a balance between investing in the business, paying down debt, and returning capital to shareholders. On slide 17, the change in our capital allocation strategy, along with our secured debt capacity, will enable an acceleration and deleveraging reduction in interest expense, increase free cash flow, and improve maturity management. The revised dividend reduces our annual dividend payments by approximately $300 million, which will increase to approximately $400 million in the second half of 2018 after the conversion of the Mandatory Convertible Series A Preferred Stock to common stock. We have relatively low debt maturities over the next two years, with $733 million due 2018, the majority of which is in Q4 2018 and $818 million due 2019. We intend to issue secured debt in the second quarter of 2017, subject to market conditions, and we will use the proceeds, existing liquidity, ongoing cash flow from operations, and the increased cash on hand from the reduction of the dividend to accelerate deleveraging, reduce interest expense, and increase free cash flow. Turning to our 2017 guidance on slide 18. While we do not provide revenue guidance, I do want to highlight that we have entered into an agreement to sell our Frontier partnerships business, which consist of two contracts and four call centers. The transaction is expected to close on May 31. The revenue associated with this business is approximately $7.5 million per month, so analysts will need to adjust their revenue models accordingly. The EBITDA associated with the Frontier partnerships business is immaterial to Frontier, so we are reaffirming our 2017 guidance. We expect capital spending to be between $1 billion and $1.25 billion, the final integration OpEx and CapEx projects to align the legacy and CTF businesses are anticipated to be less than $50 million each. Cash taxes will be $0 to $50 million excluding any impact from legislation that may occur. And we remain optimistic that any new tax legislation would not adversely impact a domestic infrastructure company in any material way. Adjusted free cash flow guidance is a range of $800 million to $1 billion. I will now pass the call back to Dan for some closing comments.
Daniel J. McCarthy - Frontier Communications Corp.: Thank you, Perley. Turning to slide 20, before we open up for Q&A, I want to briefly walk through why Frontier is well positioned to deliver value over the long term and is taking the right actions today. First, we have strong fiber-rich assets that offer significant growth opportunities. Second, we are executing strategies to improve operational performance and customer experience and are beginning to see the expected benefits. And third, with the changing capital allocation announced today, we are enhanced our financial flexibility, and we'll be able to reduce leverage more rapidly. Operator, we'll now open the call for questions.
Operator: Thank you. We'll take our first question. This will be from Simon Flannery with Morgan Stanley.
Simon Flannery - Morgan Stanley & Co. LLC: Great. Thank you very much. Dan, I think in your comments you said that you could make progress towards revenue stability and EBITDA later this year. I just wanted to make sure I understood exactly what you were saying. Is that that the EBITDA will stabilize later this year and the revenue beyond that, or do you think the revenue could stabilize later this year? And I think on the CapEx as well, it looks like – is that going to be towards the upper end of the range? And then perhaps for Perley, can you just talk a little bit about what's going on with the working capital? I know you said there was some seasonality, but how should we think about working capital use for the rest of the year? Thank you.
Daniel J. McCarthy - Frontier Communications Corp.: Simon, so on the revenue side. We saw most of the impact of change in this quarter did happen in January. We've seen very good stability in the total business for the last three months, and we're cautiously optimistic that we'll continue that trend. And we think that we've done a lot of good things to further that. We also have a number of cost initiatives as Perley outlined, that we've completed and will complete as we go forward through the remainder of the year. So we do think that there's an opportunity to both stabilize and potentially grow EBITDA as we get into the second half of the year.
Simon Flannery - Morgan Stanley & Co. LLC: (23:45)
Daniel J. McCarthy - Frontier Communications Corp.: I'm sorry.
Simon Flannery - Morgan Stanley & Co. LLC: (23:47) not stabilize revenues but improve the revenue sequential trends?
R. Perley McBride - Frontier Communications Corp.: So, Simon, it's Perley. I think the way to think about it is when at year-end, as we unpicked our results, I think everyone had in their mind while revenues declined $109 million, when you adjust it for the NPD, that was about a $70 million decline, and we guided to about a 50% improvement in that quarter-on-quarter. So when you look at our Q1 customer revenues, they declined $51 million. $16 million of that is the remaining cleanup, the final cleanup from the CTF on the legacy automation processes. So, we declined $35 million quarter-on-quarter in Q1. Of that $35 million, $5 million of it is legacy. So legacy has basically reached the stabilization point. That's about a 0.5% decline on a quarterly basis in legacy. $30 million of that decline remains with CTF, and we do expect that to continue to improve from $30 million as we go to Q2, we expect that to sequentially improve, and the declines will continue to get better on the CTF side. So that's how we think about revenues going forward. And on the – obviously, on the EBITDA side, we are continuing with our expense initiatives. So you have the revenues stabilizing and then continued – our continued cost-out initiatives.
Simon Flannery - Morgan Stanley & Co. LLC: Okay. That's helpful. Thank you. And then on the CapEx and the working capital?
Daniel J. McCarthy - Frontier Communications Corp.: On the CapEx, Simon, we're still very comfortable with the range we've given, where 75% of the projects we're looking at right now are revenue-generating or expense reduction-type projects. And we'll continue to evaluate that, but we're pretty comfortable with the range as it sits right now.
Simon Flannery - Morgan Stanley & Co. LLC: Okay. And for working capital for the rest of the year?
R. Perley McBride - Frontier Communications Corp.: Yeah. So on working – over the course of the year, we expect our working capital to be a net neutral. But the way our cash interest works against our book interest, we do see Q1 and Q3 as uses of – more uses of cash, and Q2 and Q4 as more generation of cash. But across the year, just the way our free cash flow definition is, across the year, it will be net neutral, but you will expect those flow just because the way our cash interest works with respect to book interest.
Simon Flannery - Morgan Stanley & Co. LLC: So nothing unusual this year?
R. Perley McBride - Frontier Communications Corp.: Correct.
Simon Flannery - Morgan Stanley & Co. LLC: Okay. Thank you.
Operator: We'll now move to Batya Levi with UBS.
Batya Levi - UBS Securities LLC: Great. Thank you. Two questions. One, on the revised dividend, where do you think the payouts will be over the next few years? And second on the operations. Can you provide a little bit more color on how CTF properties performed throughout the quarter in terms of build size (26:43) and churn and the level of activity in April? Thank you.
Daniel J. McCarthy - Frontier Communications Corp.: Batya, I'll take the second question and Perley will take the first. On the CTF side, we obviously made good progress on the gross additions front, and we think that further improvements are going to be realized as we improve the distribution channels around some of our multi-dwell units, as well as the e-commerce platform that was recently launched. On the churn front, obviously, we have a significant competition in the market with Charter. Charter's brought their standard typical way of going to market with kind of a flat price for three different products in the market. We've seen that before. We compete against it. But they clearly are a strong competitor. We have a number of significant initiatives right now that are all focused on the voluntary insurance side of the equation. Those are really around customer experience, packaging and pricing and really retention activities. They're all underway and are gaining traction at different rates. And I would just add that not all churn is really bad, even though I hate to lose any customers. But we had a significant segment of the customer base that was on deeply discounted offers. And we've been focused on improving the profitability of the segment, and in the process, we naturally lose some customers. But we still feel good about stabilization of the FiOS customer metrics, and a lot of that is really going to be about improving churn in the back half of the year.
R. Perley McBride - Frontier Communications Corp.: And Batya, with respect to our payout ratio, obviously with the change in our capital allocation, we are expecting our payout ratio to be in the – basically in the 20% range going forward. So...
Batya Levi - UBS Securities LLC: Okay. Just one more follow-up on the CTF growth side recovery. Can you give us a sense that most of the growth sides are coming in, in that promotional price point, the $60 for Triple-Play you have there?
Daniel J. McCarthy - Frontier Communications Corp.: In the first quarter, it was really more around some of the offers that involved some gift cards. But as we introduced the other – the new offer on the simple pricing, it's had good response. And – but that was really later in the quarter. So, the vast majority was on the original offer.
Batya Levi - UBS Securities LLC: Okay. Thank you.
Operator: We'll now move to Scott Goldman with Jefferies.
Scott Goldman - Jefferies LLC: Hey, guys. Couple follow-ups on those. One, I guess, maybe just on the dividend cut. Just, Dan, maybe you can give a little bit of thought in terms of how the Board approached the size of the dividend cut. What were you ultimately solving for? Was it to try and get to that 3.5 times leverage by 2021, or how you sort of thought about that and what your confidence level is in terms of what you need to do on EBITDA to reach that leverage target? And then just a follow-up on the churn question, the last churn question there. Just wondering how you think about – well, one, maybe you could just highlight to us what drove sort of the increased churn? I think you made some mention of some churn being good, but it seemed like a big step-up even though you're a few quarters into the integration here. But how do you think about how long it's going to take for some of these initiatives that you've put in, the e-commerce platform, Pega, and all these things to help improve the churn on that? Thank you.
Daniel J. McCarthy - Frontier Communications Corp.: Sure. So, first, Scott, on the – the Board obviously regularly evaluates our capital allocation policy. Our original expectations were to achieve about $4 billion, as we've said, on EBITDA for the year. After reviewing where we were for Q1, as well as our plans for the remainder of the year, we came to the conclusion it was probably more like $3.8 billion of EBITDA that we would achieve. As a result, leverage was going to be slightly higher than where we originally wanted to be and hope to maintain it. And that's when the Board decided to move forward and reduce the dividend to provide more cash for accelerating leverage reduction. They did really focus on leverage reduction as the principal driver, but also in keeping a dividend level that would be very sustainable and also rewarding for our common shareholders. And maybe I will just ask Perley just to talk a little bit more color on the leverage.
R. Perley McBride - Frontier Communications Corp.: Yeah. No. (31:14-31:16) it's a perfect scenario. I mean, in the last quarter, just to remind everyone, our target leverage for the year was 4.2 times that we had communicated. As of Q1, you can see our results, our leverage is 4.39 times, and obviously this is above our target. And as I look through the path of the year, while we do see stabilization and improvement, I don't currently see a path back to the 4.2 for this year. So, we still believe our leverage needs to be in the 3s for our business, and this new plan allows for us to get our leverage down to 4 times by the end of 2019, and again by 3.5 times by the end of 2021. I'll just point out that, I mean, ultimately, deleveraging creates value for our shareholders as well. So...
Daniel J. McCarthy - Frontier Communications Corp.: And then on the churn side, Scott, we're not happy with where our voluntary churn is. My comment really is that there is some churn that really wasn't just because we really focused on profitability and making sure that EBITDA was garnered from each one of the subs as they came off a deeply discounted offer. But the different initiatives that we have implemented and are really running right now are starting to have an impact now. They'll continue to have impact as we layer in different initiatives, whether it's about retention management, whether it's about how we offer customers new cross-sell, upsell or really about how we manage their packaging and pricing in a more effective way. When you look at that and you look at the fact that the platforms that we're putting in drive a standard business process and approach that increase's repeatability and gives us consistency, we really think that that's going to be key to helping us drive down churn, as well as getting through some of these very deeply discounted customer base that's out there today.
Scott Goldman - Jefferies LLC: Fair enough. As a follow-up, I mean, how do you guys think about what is a sort of run rate or stable level of churn for this business? I mean, historically, I think legacy was sort of in the 1.7-ish percent range. Obviously, CTF is a little bit higher. I mean, how do you guys think about what the right – what's a good level of your thinking about for churn long term for this business?
R. Perley McBride - Frontier Communications Corp.: Yeah. No. It's Perley. We also believe that the broadband churn should be sub 2% (33:46). It should be in the 1.5% range. Certainly, I think we believe that video churn just could be higher just because of the way consumer habits are changing. The broadband churn, there's no reason why it shouldn't be at our traditional legacy levels of 1.5%.
Scott Goldman - Jefferies LLC: Great. Thank you.
Operator: We'll now move to David Barden with Bank of America.
David Barden - Bank of America Merrill Lynch: Hey, guys. Thanks for taking the questions. I guess, a couple, if I could. Just maybe following up on your comments, Dan, about the $3.8 billion that informed the dividend policy. If I multiply the first quarter adjusted EBITDA by 4, it's a little south of $3.7 billion. And if you could kind of talk a little bit about the levers, I guess, because it does feel like we're still looking at pressure in CTF in the second quarter. And I know you kind of talked about some of these cost cuts, but I guess, if you could kind of spell out some of the cadence you think might drive that. And then, if I take that $3.7 billion run rate that we're at now and I subtract out $1.5 billion of interest in the midpoint of the CapEx range and the midpoint of the taxes and the preferred, I'm at the very low end of the free cash flow guidance range for the year. And you obviously reiterated a midpoint of $900 million, a possibility of $1 billion. I would love some color on kind of what kind of scenario would get you kind of more into the mid to higher end of that free cash flow number. It'd be super helpful. And then just on the debt and then the delevering, I guess, Perley, is the objective function here really to just address the towers as they come? Or is there a mix of ideas that maybe address some of the near term but also take advantage of some of the longer-term yields to boost the free cash flow benefit? And hopefully, the market will be there for you when you do need to come to the – say, the 2020 tower. We can hopefully get some color on that. Thanks.
Daniel J. McCarthy - Frontier Communications Corp.: So, Dave, just on the first part of the question on the cadence, we did see, as I said, good improvements in monthly billing trends for the last three months. And we have a number of initiatives, as well as improved execution in the CTF market as additional upsides at this point on those trends. So, we're feeling very good about what we're seeing, and we think that they'll translate into that stability, as we get a little bit further into the year. We have already executed on a number of cost efficiency part of the plan that will start to have impact as we get into Q2. And then we have additional cost savings that are lined up right now that will happen as we get into the summer and into the fall. So, when you put it all together, that's what makes us feel pretty comfortable around that $3.8 billion level.
R. Perley McBride - Frontier Communications Corp.: And Dave, it's Perley. On the free cash flow range, we just didn't see a need to change our guidance at this point. I think, to your point, if you do the straight math that are we sitting at the lower end of the range, and if you do the straight math, that's been an appropriate math exercise, I'd say, yes. But I think it's too early in the year to change our guidance, we believe we're going to be within our guidance range, and we'll continue to adjust it as we need to go on forward. But I didn't see a need to start changing ranges when we still think we'll be in the range, and there's still three quarters to go on the year and a lot of progress that we're making. On the debt and deleveraging, and if there's – we will be going to market in the current quarter, if the conditions remain favorable, and we'll look – we'll determine the size of what we're going to do as we go to market. I think that the primary reason is to refinance debt, obviously. But to your point, we're going to be looking at a number of liability management scenarios as to near term, midterm, and what gives us kind of the best ratio, the best view of kind of what I'll call NPV neutral scenarios that we can execute on, and puts us in a great position and basically gives investor confidence that the runway is taken care of, the towers will be taken care of, and we have good line of sight into that. So, but we'll be working through a number of liability management scenarios to find the right solution.
David Barden - Bank of America Merrill Lynch: All right. Great. Thanks, guys.
Operator: We'll now move to Phil Cusick with JPMorgan.
Philip A. Cusick - JPMorgan Securities LLC: Hey, guys. Thanks. Couple of questions. $70 million gain from the sale of assets on the cash flow statement. Can you detail that more, and is that an EBITDA at all?
R. Perley McBride - Frontier Communications Corp.: $70 million gain on the cash flow statement. It's the – these are facilities that we sold. But what was your specific questions?
Philip A. Cusick - JPMorgan Securities LLC: I'm just wondering what that was in the first quarter. You said you were selling something, but I thought that it was an impact in the second quarter. Is that already closed in the first quarter?
R. Perley McBride - Frontier Communications Corp.: Yes. Yeah. We have sold some owned buildings, if you will, but have a leaseback provision with them, and I think that that's what you're seeing when you look at the statement of cash flows in Q1. And there's some more coming in Q2 as well, and so we continue to work on that process to sell buildings and/or change our leases and/or exit buildings. So that's what you're seeing right there, Phil.
Philip A. Cusick - JPMorgan Securities LLC: Great. And did that impact the EBITDA at all?
R. Perley McBride - Frontier Communications Corp.: No. It did not impact EBITDA.
Philip A. Cusick - JPMorgan Securities LLC: Okay. Good. And the call centers that you're selling in the second quarter, can you talk about the contract that you have with them? Are you locking in a certain level of costs on your call centers as you sell those?
R. Perley McBride - Frontier Communications Corp.: They are four isolated centers, that their work is entirely related to the Frontier partnership business. So, the employees, the leases, everything about those just moves straight over to the acquirer.
Philip A. Cusick - JPMorgan Securities LLC: I'm just wondering if you've locked in like sort of a contracted cost that now can't be flexed over time.
Daniel J. McCarthy - Frontier Communications Corp.: Phil, this was the business process outsourcing that we had done for separate third parties. So we've sold that...
Philip A. Cusick - JPMorgan Securities LLC: (40:20)
Daniel J. McCarthy - Frontier Communications Corp.: ...business to another entity, and we're getting all those costs and the revenue out of our business to really improve the focus on our core business and take that off of the radar for the cost synergy.
Philip A. Cusick - JPMorgan Securities LLC: Great. I understand. And then last. It's on the industry, it seems pretty clear video is getting more competitive, driven by over-the-top products and AT&T. As cable responds to that, I'm not sure you're seeing impact. Are you thinking about the profitability of video any differently?
Daniel J. McCarthy - Frontier Communications Corp.: Yeah. We are looking at, and as I said, we were very diligent on migration of customers in this segment in CTF that came up this year. We're looking at it. We really are making some improvements on our cost structure on the content side as we step up and a have little bit different scale with the different providers, but we clearly see the migration happening. We saw a significant, we think, a number of customers moved that way in – even in the first quarter. And when you look at it, the profitability, as depending on what their packages are as they move over, really isn't that terrible for us as they move over to kind of a Double Play or a Single Play. So, for certain customers and certain packages, we have very strong profitability; others, less so. And we're going to look at what is the right mix on that going forward.
Philip A. Cusick - JPMorgan Securities LLC: Is there a general consideration of pulling back from the video market in overall?
Daniel J. McCarthy - Frontier Communications Corp.: No, I don't think so at this point. I think that we feel that we're still making acceptable gross margins and profitability on all of those video customers as a whole. But you may see us look very specifically in trying to optimize certain segments.
Philip A. Cusick - JPMorgan Securities LLC: Got it. Thanks, Dan.
Operator: We'll now move to Frank Louthan with Raymond James.
Frank Garreth Louthan - Raymond James & Associates, Inc.: Great. Thank you. Can you comment on any other operational changes you might need to have the video and data product in the CTF markets more fully operational that maybe cut into some of that voluntary churn? And then, can you comment on how many customers in those markets are on contracts and the average life left? Is there any sort of potential more voluntary sub loss in a sort of a measured fashion as those customers roll off contracts?
Daniel J. McCarthy - Frontier Communications Corp.: Yeah. Frank, the only real issue is on the product side were things that we resolved in the first quarter. There was a lag in upgrade cycle, where we took over from Verizon on some of the aggregator routers that might have caused some speed congestion. We resolved that by really upgrading to the latest routers and capacity throughout California and different parts of Texas and Florida. So, we don't think that there's any real deficits right now from a product perspective. And so, we feel pretty good about where we are on that at this point. And Frank, I...
R. Perley McBride - Frontier Communications Corp.: The customers on contract?
Frank Garreth Louthan - Raymond James & Associates, Inc.: Yeah. I mean, do you have an idea of how many customers in the CTF markets are on contracts and/or should we be concerned there's any – there are more measured pacing as these contracts roll off to – that we need to work through?
Daniel J. McCarthy - Frontier Communications Corp.: No. I think when we looked at it, the lion's share of the market when we took over was basically on two to three-year contracts, and they're just – you can think of that as a pro rata amount across any year. So, we went through a significant slug last year, had a pretty good success rate on re-upping those contracts and moving them into multiyear agreements. We're doing the same thing right now. But again, some of the hops that we might be trying to put in might be fairly large upticks in price. And we want to do that just to make sure that the customer is profitable for us. So, it's not that we don't want to keep them, we just want to make sure that they're at the right price point, and that's what's been inducing some of the churn, along with some of those other issues that I talked about as far as congestion and some of the hangover and leftover from the first year of operations.
Frank Garreth Louthan - Raymond James & Associates, Inc.: And I apologize, what percentage did you say was on the two, three-year contracts when you started?
Daniel J. McCarthy - Frontier Communications Corp.: I think it was the vast majority. I think it was more like 80% to 90% was in that category, and then you just think about it equally split over each year.
Frank Garreth Louthan - Raymond James & Associates, Inc.: Got it. Okay. Thank you.
Daniel J. McCarthy - Frontier Communications Corp.: You're welcome.
Operator: We'll now move to Amy Yong with Macquarie.
Amy Yong - Macquarie Capital (USA), Inc.: Thanks. So, two questions, one really quick one, and just following up on the churn issue, can you call out how much churn was impacted by the storms or the weather conditions in California? And then my second question is on ARPC. How do we think about blended ARPC going forward? It looks like legacy is going up, but CTF is going down, and I understand some of that is from the customer collections process. But if you could just help us walk through pricing and think about current retention and the cross and upselling processes. Thanks.
Daniel J. McCarthy - Frontier Communications Corp.: Amy, I think on your first question, the weather in California, you should think of that as not really having a dramatic effect on the FiOS ecosystem and the customers. So, we don't think that was a major contributor to churn in that group. However, the place where we did see a lot of activity was really in the copper world. One, you can imagine Southern California, which generally doesn't get a ton of rain, they got so much rain, and the plant actually did pretty well, but there was still a fair amount of areas that required us to do maintenance, to resolve water intrusion. And I'm sure that during that process, the combination of potential issues for DSL, or even POTS service, combined with the backlog as they worked through getting those issues resolved, I'm sure it did (46:50) cause some churn on that side of it, but really wasn't part of the FiOS issue.
R. Perley McBride - Frontier Communications Corp.: And, Amy, on ARPC. It's Perley. As you mentioned, the legacy is fairly stable. Maybe it's slightly increasing, but its legacy, fairly stable. On the CTF, I think it's reaching a stabilization point. But one thing that would that would put some pressure on the CTF ARPCs is really about – there are a segment of video customers that are dropping video but staying with us. So that's the one cohort of customers where we would see some pressure on ARPC. Dan talked about getting right the whole promotional and packaging, and as customers come off contract landing them in the right place. So, there's still some work that we have – there's still some things we have to work through on there. But I think we're getting comfortable around our pricing and our packages and landing people in the right promotions as they come off contract. But I think – so I think the one cohort that is still kind of moving on, that should be the video churn, where they keep the broadband product but do churn the video component. And so, we'll – well, that's the thing we're watching just to see what that does to the CTF ARPC over time.
Amy Yong - Macquarie Capital (USA), Inc.: Thank you.
Luke T. Szymczak - Frontier Communications Corp.: Matt, we'll take one more question.
Operator: Thank you. The final question today will be from Greg Williams with Cowen & Company.
Gregory Williams - Cowen & Co. LLC: Great. Thanks for taking my questions. I just wanted to talk about the dividend cut again in the conversation you've had with the Board. I'm just curious what entailed or what was involved in the conversation specifically around maybe even considering cutting the dividend entirely or at least putting a pause on it until you had revenue and EBITDA stability. I understand your investor base is very much yield-oriented. But did you consider maybe buybacks as a form of return of capitals given that's a lot more flexible, and maybe cutting the dividend entirely, putting a pause on it, waiting for that stability rather than having a dividend still and maybe that just draws a conversation of kicking the can down the road and having an inflexible commitment still?
Daniel J. McCarthy - Frontier Communications Corp.: Yeah, Greg. The Board considered maintaining the dividend. They considered various levels of the dividend. They considered deleveraging as a priority. They considered buyback. They looked at the range of options that were available to them. And based on where we are in the performance and then really the need to focus on delevering, addressing the towers as they come up over the next couple of years, they felt that the best approach was to move the capital allocation in that direction. Having said that, they wanted to balance maintaining a dividend as you point out, that's very important to our equity holders. And they arrived at the correct level would be $0.16 annually or $0.04 a quarter. That was – it was a very robust discussion. They went through all of that, and they felt that that was the right approach at this time.
Gregory Williams - Cowen & Co. LLC: Thanks.
Daniel J. McCarthy - Frontier Communications Corp.: All right. So in closing, we continue to make progress on improving sales and operations, and I'm proud of the accomplishments of our teams. I'm very excited about the future of our business. And I want to thank you all for participating in our call and look forward to delivering improved results in coming quarters. Thank you very much.
Operator: And again, that does conclude today's call. Thank you all for your participation.